Operator: Good day ladies and gentlemen, and welcome to the Safeguard Scientifics second quarter 2010 results conference call. At this time all participants are in a listen-only mode. Later we will conduct the question-and-answer session and instructions will be given at that time. (Operator Instructions). As a reminder this conference call is being recorded. I would now like to introduce your host for today's conference, Mr. John Shave, Vice President of Business Development and Corporate Communication.
John Shave: Good morning and thank you for joining us for Safeguard Scientifics conference call and update. Joining me on today's call are Peter Boni, Safeguard's President and Chief Executive Officer; and Steve Zarrilli, Senior Vice President and Chief Financial Officer. During today's call, Peter will review highlights from the second quarter of 2010 and some subsequent events. Then Steve will discuss Safeguard's financial results and strategies. After that, we'll open the lines for your questions. Before we begin, I must remind you that today's presentation includes forward-looking statements. Reliance on forward-looking statements involve certain risks and uncertainties, including but not limited to the uncertainty of future performance of our partner companies, and the risks of acquisition or disposition of interests in partner companies, capital spending by customers, and the effect of regulatory and economic conditions generally, as well as the development of the technology in life science markets on which Safeguard focuses. During the course of today's call words such as expect, anticipate, believe and intend will be used in during our discussions of goals and events in the future. Management cannot be certain that final outcomes will be as described today. We encourage you to read Safeguard's filings with the SEC which describe in risk detail, the risks and uncertainties associated with managing our business. The company does not assume any obligation to update any forward looking statements made today. And here's Safeguard's President and CEO Peter Boni.
Peter Boni: Thanks John and thank you all for joining us today for this quarterly update on Safeguard's Scientifics and our partner companies. The result for the quarter ending June 30 were distributed earlier today and as you can see, Safeguard continues to execute against its game plan to improve the strength of our balance sheet, increase our financial flexibility and ultimately build value for shareholders. In line with that, our partner companies continue to show steady growth and maturation. Now before we get into the specifics of Q2 results I'd like to take a few moments to go through Safeguard's business model through new comers that are around today's call. We typically deploy up to $25 million in growth capital for the company to develop high potential life sciences and technology businesses that exploit five strategic themes; maturity, migration, convergence, compliance and cost containment. Safeguard has 17 active partner companies today, 10 in life sciences and seven in technology. We time our exit from ownership positions in these companies to achieve aggregate targeted risk adjusted return on capital of 3 or 5 exit at the minimum. Now exit opportunities may arise at any time and in different forms, including privately negotiated sales of securities or assets, public offerings and partner company securities or in the case of a publicly traded partner company, the sale of securities on the open market. The potential for several exit transactions over the course of this next year is very real. However, there are mixed signals regarding the momentum in this macro exit environment as evidenced by what's going on in the marketplace. While industry deal activity has been way up year-over-year, IPO and M&A's in their momentum were both down in Q2 versus Q1. Furthermore several IPO's have been priced below their additional range or haven't priced at all. Now if an opportunity clears our strategic growth and return our growth, we'll respond appropriately. In the mean time, we will continue to work everyday to build value in our partner companies, drive their growth and keep their spending plans in line. Now we set this open and (inaudible) repeating that discipline is the hallmark of our strategy. Our deal teams evaluate many hundreds of investment opportunities throughout a given year as potential partners seek growth capital. We remain focused on enhancing value in our partner companies rather than deploying capital or perusing exit simply for activity sake. We do have a pipeline of new potential opportunities however, and we continue to advance those opportunities through our selection process. Now during the second quarter, we were really encouraged by the continued growth and improved performance of the safeguard partner companies. Aggregate partner company revenue increased 47% year-over-year. As a result, we've increased our projected guidance for aggregate partner company revenue in 2010 to be between $325 million and $350 million. Now let's review some specific recent developments at some of our partner companies that illustrate the power of Safeguard's business model. I among our diagnostics companies, Clarient continues to deliver upon a strategic and operational vision and it's making great progress. Yesterday Clarient reported strong financial results for Q2; including a 21% increase in revenue, a 22% increase in test volumes, strong customer growth and an outstanding customer retention rate of 98%. Clarient's first half momentum is validation of its strategy as both commercial and operating elements of the business continue to perform well. In addition, the company continued to make solid progress in its proprietary test initiatives, improving collection metrics and achieving net income. Days Sales Outstanding or DSOs continue to decrease and are now at 78. Bad debt expense declined to 10.9% of net revenue. Clarient projects 2010 revenues to be between $108 million and $115 million representing a year-over-year growth rate of between 18% and 25%. Clarinet's around the Safeguard's stake in Clarient's common stock and warrants valued yesterday were about a $107 million. Among Safeguard diagnostic companies, Avid Radiopharmaceuticals recently announced complete Phase III data for its amyloid imaging agent for Alzheimer's disease meeting their core primary end points. In light of these positive results, Avid was featured in the front page article concerning the diagnostics and treatment of Alzheimer's in The New York Times, as was well as articles published in Bloomberg and The Wall Street Journal. An NDA filing with the FDA is expected later this year. Now Avid also announced their continuing partnership with Cardinal Health to manufacture and distribute its product and the shipping of the first dose manufactured in a new partnership with Siemens Medical Solutions. Safeguard has deployed $12 million of capital in Avid since 2007 for a 14% primary ownership position. Another targeted segment for Safeguard within life sciences is regenerative medicine and our most advanced partner company in this area is Advanced BioHealing or ABH with a growing line of tissue engineered products that use living cells to repair or replace body tissues that's damaged by injury, disease or ageing. Now ABH reported revenues of $85 million in 2009 driven by sales of which FDA approved Dermagraft for diabetic foot ulcers. The company is ahead of its plan to generate a 50% increase in annual revenue in 2010 and it continues to self fund its own growth. Now ABH is also aggressively expanding its US commercial sales and marketing efforts and they are exploring new applications for it's product in domestic and international market. Going forward, the company expects to execute its venous leg ulcer trial, launch Dermagraft international and is considering the launch of (inaudible) its product for the treatment of burns. Now Safeguard has deployed $10.8 million of capital on ABH since February of 2007 and we have a 28% ownership position. The last target segment among our life sciences businesses includes specialty pharmaceuticals and our partner company I would like to highlight there is NuPathe. Now NuPathe has filed a registration statement on a Form S-1 with the Securities and Exchange Commission during the second quarter in its preparation for an IPO, it's actually on the rodent show as we're speaking. NuPathe completed its pivotal Phase III clinical trail for Zelrix, its most advanced product currently for the treatment of acute migraine. Additionally NuPathe CEO Jane Hollingsworth was recently featured in the Ernst & Young Entrepreneur of The Year award where she won in the Health Sciences category for Greater Philadelphia. That's a real congratulations to Jane and her entire team on many fronts. Among our seven technology partner companies, healthcare IT company's Advantage Healthcare Solutions or AHS and Portico Systems reported continued growth during the quarter. Both companies gained an important valuation date applied with a $120 million IPO of a healthcare revenue cycle management firm that was a treat of health of Chicago. AHS is now one of the nation's 15 largest medical billing firms. The company's state-of-the-art efficiently collects financial information and accelerates the reimbursement of the third party claims in patient payments, enabling hospital physician groups to maximize revenue, decrease their billing and practice management costs frequently and in dramatic ways. AHS is achieving profitable growth and expects its 2010 revenues to increase by over 75% in comparison to 2009 through both organic growth and strategic acquisitions. The company also has a robust pipeline of potential acquisition candidates. Safeguard deployed $13.5 million of capital in AHS since November 2006 and have a 40% ownership position. Portico Systems now has 35 healthcare customers and serve more than 42 million members. The company and its client base are constantly growing. Additionally, Portico Systems is consistently recognized by leading publications, industry analysts and other healthcare IT experts for its deep domain expertise and has commitment to product innovation to meet needs of healthcare plans of all sizes. Recently, the company made the Healthcare Informatics 100 list for 2010. This is Portico's third time being featured on that list which spotlights the top healthcare information technology companies in the world ranking both public and private companies based on the previous year's revenue. Safeguard deployed $9.3 million in Portico since August 2006 and has a 45% stake in the company. Within the internet new media companies, MediaMath continues to execute against its game plan to use proceeds from its financing which Safeguard led last year on technology research and product development, executive and staff recruitment, tactical acquisitions and then geographic expansion. The company had a strong first half 2010 and it's current ahead of its 100% revenue growth plan. In addition, last week, the company announced the launch of its more robust streamlined enterprise class media buying platform, TerminalOne. This is a game changer for both MediaMath and the overall demand side platform segment. In line with MediaMath's continued growth on success, the company was recently named to the 2010 always on Global 250 Top Private Company list which represents the top emerging companies and the global silicon valley that are demonstrating significant mark attraction and pursuing game changing technologies and on-demand computing, digital media and greentech. Safeguard deployed $6.7 million in July 2009 and we hold a 17% primary ownership position. Another one of Safeguard's internet and media companies swaptree.com recently raised $6 million of which Safeguard provided $4.7 million. We're allocating proceeds primarily to fund expansion and marketing initiatives. Now on the heels of this recent financing, the company announced to its user base it has acquired the domain swap.com. The company's goal is to build the world's biggest swapping site providing its users with one stop swapping website where users have the ability to swap just about anything they want. Swaptree or swap.com will enable the company to attract a wider array of members which means more items available for swapping. Now stay tuned for more details as the company plans to debut its new branded website over the next few months. There is no shortage of progress throughout Safeguard and the southern part of the companies, but in the interest of time, I'll stop now and I'll turn the call over to Steve Zarrilli our Chief Financial Officer for an update on financial strategies and performance. Go ahead Steve.
Steve Zarrilli : Thanks Peter. This morning I would like to focus my comments on trends and our performance and strategic objectives. However, I'll be happy to elaborate on any aspect of our financial or strategic initiatives during the Q&A period. Today Safeguard is stronger, leaner and better positioned to execute our strategic game plans and at anytime over the last five years. We owe that improved strength and flexibility to our disciplined and focus on solid financial fundamentals and principals. Our emphasis on increasing Safeguard's cash balance, reducing our debt and continuing operating expenses will not diminish over the remaining months of 2010. At June 30, we had $69.4 million in cash; cash equivalents and marketable securities, excluding the cash held in escrow of $6.4 million and restrict the cash equivalence of $19.1 million. The balance on December 31, 2009 was $106 million, excluding $6.9 million, cash held in escrow. The restricted cash equivalents I referred to primarily relate to the interest escrow associated with our convertible debentures, and the related exchange transaction consummated in the first quarter. In the second quarter, your primary uses of cash were cash operating expenses of $4.4 million. This total excludes interest payments, non-cash stock based compensation and depreciation expense. We project Safeguard's 2010 annual operating expenses in the range of $14.5 million to $15 million consistent with previous guidance. And finally deployment of $5.5 million to support the capital needs of existing partners companies. A year ago our debt to equity ratio was 1:1. Today the ratio is 1:2, achieved through our strategic initiative to enhance Safeguard's financial strength and flexibility and improve our balance sheet. Safeguard's debt balance at June 30th was $78.2 million in face value, with $31.3 million of the 2.625% senior convertible debentures due in March of 2024, and $46.9 million in recently issued 10.125% senior convertible debentures due in March of 2014. In 2010, we intend to continue to evaluate and pursue opportunities to deploy capital selectively in new and exciting growth companies, and augment existing capital with well timed exits or alternative pools of capital. We have a significant pipeline of opportunities. We are also seeing a greater number of interesting opportunities with more attractive economic parameters. Our deal team professionals are actively evaluating the potential for several new investments during the remainder of 2010. We believe that Safeguard and its partner companies remain well positioned for continued revenue traction and value creation in 2010. Our partnered companies grew revenue in the aggregate by 47% year-over-year in Q2. As a reminder, Safeguard reports the revenue of its equity method and cost method partnered companies on a one quarter lag. Our partner companies continue to execute aggressively are conserving cash and making strategic and opportunistic acquisitions. We have worked with the management teams of each of our partner companies to evaluate levels of existing and required capital, strength of personnel resources and unique opportunities for growth. These processes which are ongoing allow us to assist management in unique ways to continuingly drive value creation and maturity. Now Peter, I'll let you lead the Q&A session.
Peter Boni: Okay thanks Steve. Before I turn the call over to Devon for Q&A, I would like to make you all aware that Safeguard will be posting its investor and analyst day on Tuesday, October 5 at The Yale Club in New York City. At the event, you can expect to hear from Safeguard's executive management team and approximately half a dozen of the Safeguard partnered company's CEOs and more details will be forthcoming through John Shave. Now Devon lets open the phones up for any questions.
Operator: (Operator Instructions). Our first question comes from Bob Labick of CJS Securities.
Bob Labick - CJS Securities: Could you touch on this a little? I was hoping you could expand on the latest macro environment as it is right now for exits and what you are looking for, what you guys watch out for there in terms of when exits become more applicable?
Peter Boni: Okay, sure Bob, of course as we know the capital markets environment continues to exhibit a lot of volatility and we've seen some IPO activity that was substantially disrupted or discounted this economic recovery that we're in showing signs of being tenuous and there is lot of publications talking about slow and cautious strategic buyers that are sitting on a huge war chest of cash and the same climate, many of the venture capital community are having difficulty finding new funding from limited partners, year-over-year that's down about 50% and that's contracting the number of active venture firms that have active cash to put to work. Although in Q2 we did see some increase to investment activity by the venture funds they had capital and the emphasis is really on quality companies whether it be an IPO or MNA, quality companies do find an exit path and the environment is sitting with a huge war chest of capital and a large appetite to enable that. So we'll just play that out as the time a line continues to draw. There was some awaked pricing structure from strategic and financial investors on high quality companies and we expect we have high quality companies that can, when the timing is right, achieve its rightful evaluation. Now we also see a good deal of regulatory legislation in the works, both in the healthcare and then the financial world and that's created a little bit of hesitancy and uncertainty in the environment as well. Once again and that's an environment where quality rules and we believe we have high quality and will ultimately rule. 
Bob Labick - CJS Securities:  And then also just thinking macro in terms of the purchases may be, there is potential tax law changes, I guess (inaudible) interest and (inaudible). Does that have any impact on the companies you are looking at as potential purchases and just unrelated, but could you also just remind us your NOLs for when it comes to exit?
Peter Boni:  I believe our NOLs Bob, its $360 million of NOLs. The tax changes that are being publicized are really more the changes of carried interest as earned by the partners and principals within the venture capital or private equity or let's call it the alternative asset management world where they gain long-term capital gains treatment now and on the table is to treat that as ordinary income. That has no impact on Safeguard Scientifics where it ultimately will receive long-term capital gains for any asset that it ultimately does divest off and those taxes have the NOLs to differ the tax entirely. 
Bob Labick - CJS Securities:  And then as it relates to your balance sheet, you've certainly improved. You guys had a lot of flexibility as well extending the maturities, giving you better timing for your exits. Could you talk about two, three, four years from now assuming you have a bunch of nice exists etcetera? What's the ideal capital structure long-term and how are you thinking about optimizing the balance sheet after the exit?
Peter Boni: Steve I'll let you handle the balance question and I may supplement that with a footnote. 
Steve Zarrilli.: So our first tour is to make sure that we have not only cash available to meet our ongoing investment opportunities and objectives, but also to ensure that we have sufficient liquidity in order to meet our debt obligations as they become due. As we sit here today, we expect that the ventures of approximately $31 million will most likely get put back to us in March of 2011. So we are preparing for the repayment of that obligation should those holders put that obligation back to us and then we're looking to make sure that we ensure that we have cash available to meet our future obligations which most likely will come from the expected monetization of certain investments between now and 2014. So we actually feel pretty good about the strength of our balance sheet. As it relates to how we may use debt to augment our capital structure going forward, we do have available to us a working capital facility with Silicon Valley Bank for which we have no borrowings to date. We could use that for shorter term initiatives if we thought it were appropriate. We are not intending to use short debt to fund long-term investments. We do believe that ideally $50 to $75 million of debt outstanding in connection with our expected cash balances and equity going forward would not be under an unusual amount of debt and if you think about it, once we get beyond March of 2011, we'll have just about $50 million outstanding as it relates to debt. So debt capital structure inclusive of bad debt seems rationale and reasonable to us at this point in time.
Operator: Thank you. Our next question comes from Greg Mason of Stifel.
Jonathan Bock - Stifel Nicolaus: Thanks this is Jonathan Bock. Peter you mentioned that in order to harvest gains regularly, you must also plant regularly. So could you give us your expectation for deployment into new companies in 2010-11?
Peter Boni: I'll look backwards in order to look forward, so Jonathon we have deployed somewhere between $40 and $50 million per year since 2006 and a composite of new and follow-on requirements into our partner companies. That's a good guidance for going forward.
Jonathan Bock - Stifel Nicolaus: Okay and you did mention that BC Capital is constrained today and so could you tell us maybe what the competitive landscape forbidding on new companies looks like? 
Peter Boni: Quality companies always attract attention. There is far fewer organizations that have the dry powder in order to put that capital to work and many are having difficulty raising a new fund in this current climate and the alternative asset management world. We've never considered ourselves arch competitors to the venture capital world. Many times they come to us Jonathon and say hey we have a deal, we'd like you to syndicate partner with us because you bring more to the table than just capital. You bring operational support services, your people have great background and experience and can provide some strategic guidance to our firms and that's worth lot more than just dollars.
Jonathan Bock - Stifel Nicolaus: And I also believe Steve mentioned that there were several liquidity options that you had at your disposal for that $31 million convert payment as well as to meet capital deployment. That being said, could you tell us maybe how you would approach the sale of your current Clarient stake today?
Peter Boni:  Steven, why don't you address that and may be I'll do a foot-note on it. 
Steve Zarrilli: As we have said in the past and I think we are very consistent in the way that we look at Clarient, we will at some point in the future yet to be defined continue to monetize our investment in Clarient when we think it provides an appropriate return to our investors. Now there is no specific game plan as it relates to the ownership of the Clarient at this point in time. We were thrilled to see the company continue to execute in the manner that we anticipated and they continue to demonstrate an increasing level of maturity around our business models. So, we have ways in which to meet our obligations and funding expectations for the deployment of capital with or without Clarient. So, we're looking to ensure that we do the best job possible for our shareholders and maximizing a return out of the Clarient at some point in the future. 
Peter Boni: Just a footnote Jonathan, the past is an indication of the future. Last year with an S-3 filing, Safeguard did take some money off the table with Clarient. What it didn't do is dribble it out, a share at a time and create undue pressure on that stock. We did it in a very organized and professional manner. 
Jonathan Bock - Stifel Nicolaus: Yes, Peter could you remind us what price you sold at?
Peter Boni: I believe it was $3.50.
Jonathan Bock - Stifel Nicolaus:  No, also with the news coming around that the new path in (inaudible) IPO's could you may be talk about your opportunity to exit some of those investments as they are out in the market today. 
Peter Boni: Those particular companies, we looked at the IPO as a financing event as opposed to an exit event. Both companies are gaining capital in order to advance the commercialization of their product and technology.
Jonathan Bock - Stifel Nicolaus: I noticed you put $2.7 million into NuPathe. Could you explain maybe why that would be done so close to an IPO?
Steve Zarrilli: That was actually an amount of capital that we deployed that had been determined back actually in the winter so it was a commitment that was made and that we were following up on. So that was actually part of a bridge financing to take NuPathe from where they were into the process that they are in today and they will continue to use the IPO proceeds as a the further way to capitalize our future activities.
Jonathan Bock - Stifel Nicolaus: Do you happen to have an exact amount of the Tengion shares you own as of 630?
Steve Zarrilli: I don't have an exact amount of the number of Tengion shares with me, no.
Operator: (Operator Instructions). Our next question comes from Nick Halen of Sidoti & Co.
Nick Halen - Sidoti & Co.: My question is regarding your raise in your 2010 aggregate partner revenue guidance. Basically I am just wondering what caused this. Was it more of accelerated growth and the fee of your partner companies or was it more broad based? And I guess did a lot of it had to do with advanced BioHealing savings to come in a little stronger than expected?
Steve Zarrilli: Hi Nick thanks. Actually revenue growth has come from all sectors both in the technology and life sciences arena. If you recall, we have identified five strategic growth drivers maturity, migration, conversions, compliance, cost containment and we can actually point to those growth drivers that are driving growth throughout our holdings. Clarient, ABH, MediaMath and AHS more prominently than several of the others but nonetheless, each of our companies is seeing substantial growth and we're really pleased with that. When you take a look at the macroeconomic climate and what many investors are looking at from companies that are publicly traded, they are looking for revenue growth on top of some earnings prospects and we're driving that.
Nick Halen - Sidoti & Co.: And also I guess moving along on that, is there any of your partners in the same quarter saw in terms of you guys are worried about revenue growth and they didn't comment as expected and growth is little slower than you are expecting?
Steve Zarrilli: Outside of any company that we've highlighted as a trouble spot, we're not really experiencing some downside. We're experiencing more upside in our companies.
Nick Halen - Sidoti & Co.: Okay great thanks guys.
Steve Zarrilli: Before we take the next question, just as a follow-up to the previous question that was asked, we currently own today 589,000 shares of Tengion.
Operator: Our next question comes from Bob Labick of CJS Securities.
Bob Labick - CJS Securities: Obviously Avid had some very good news that you highlighted with their trails and stuff and you mentioned that they are in a process of an NDA filing expected in the back half of this year. For some of the [gentlemen] on the call, can you just walk us through what you expect that process to take? Do they need more capital at this time? What's their game plan there, not necessary an exit for you but just more the next several months in game plan for them.
Peter Boni:  I believe Avid has made public and they have completed their Phase III test through the FDA. That was a 152 patients during Q2. They presented some really tremendous efficacy data that met all the end points at the premier industry conference that was just held over two weeks ago. And the filling of the NDA, they expect in the second half of 2010, I'd say in the fall. They are currently developing all of the manufacturing and distribution partnerships needed in order to commercialize their offering. For instance, the partnership with the Cardinal Health enables that. Now the NDA is expecting no later than Q4 of 2011. Oftentimes there is a one year process from the time you file an NDA to the time you get the NDA. So that would say, if you follow that timeline that they will be launching their product offering at the end of 2011, the beginning of 2012. So between now and then, they are gearing themselves up for a significant launch. And remember this company is 12 to 24 months ahead of its competitors through that whole FDA process. 
Steve Zarrilli : And Bob so, legitimately they have three (inaudible) that they could peruse. They could raise capital in a public offering if they wanted to, the existing capital providers could provide additional capital to them if needed or they could use a strategic partner to ultimately fund some of the longer initiatives or a combination of all those things. So it's a very fluid process for Avid. The good news is they have a lot of different options available to them to consider and they are going to be looking at those options in a lot more specificity and detail over the next three to four months.
Peter Boni: And this is clearly a high quality company Bob, to emphasize Steve's point. Many of strategic alternatives in front of them.
Bob Labick - CJS Securities: Very exciting stuff and you had them I guess at the Analyst Day three years ago. We've been following them, so congratulations on that.
Operator: (Operator Instructions). Showing we have no further questions.
John Shave: Operator will you just check that one more time, my queue shows that Jonathan Bock is back in it.
Operator: Mr. Bock, your line is now open. 
Greg Mason - Stifel Nicolaus: This is Greg Mason. I do want to do one last follow up. You always breakout your companies and like development, initial revenue expansion, high attraction companies. I believe last quarter you moved MediaMath from expansion to high traction. I just want to see if there were any other new movements in this quarter into any of the companies moving up in the higher.
Steve Zarrilli : Not at this time but I'd say that Portico is on the cost on that and you should keep your eye on that. 
Greg Mason - Stifel Nicolaus: Is MediaMath or when do you expect it to be at the point where it's on its own from a cash generation standpoint. Do you expect that in the near term?
Peter Boni : Actually MediaMath is on its own today, they've been supplementing their capital with well structured debt arrangements that have been in any way tax their balance sheet, but they are more than capable to meet their ongoing capital and cash needs on a standalone basis at this point in time. 
Steve Zarrilli: Another high quality company Greg.
Greg Mason - Stifel Nicolaus: What are some of potential exit opportunities for MediaMath?
Steve Zarrilli: Usually companies have two ways to go. It's an IPO or its M&A from a strategic financial buyer. 
Peter Boni: We've only been in this for a year so, just a year. So I think just sometime to be played out on this clock. 
Operator: Thank you. I am showing no further questions here.
Peter Boni: Thanks very much for you continued interest in Safeguard. We look forward to seeing many of you on October 5th in The Yale Club in New York City. So long.